Nick Roberts: Well a very good morning to you all. Thank you so much for joining us. I hope that you, your colleagues and your families remain safe and well. Welcome to our Second Virtual Market Update. We hope to be able to see you in person for our Half Year Update later on in the year. A simple reminder of the format, Alan will talk through the financial performance of the group and I'll follow with an operational and a strategic update and look-forward.  I want to start by thanking all of our colleagues who have worked tirelessly in the face of adversity to operate our business successfully, serve customers and support suppliers as well as each other. I'm proud to have been part of the TP family over the last year. And our colleagues have done the company proud.  The challenges we've had to overcome have been absolutely extraordinary and they're ongoing. But the TP spirit has absolutely come to the fore. We have at all times been guided by our values true to the culture of the company in placing our colleagues' and our customers' safety and well-being as our number one priority.  2020 was all about resilient training -- trading in significant uncertainty. And I'm very pleased to present the full year results showing a robust and resilient performance in the face of very challenging conditions that tested the entire economy and with a particularly strong performance in the second half.  A full year operating profit of £227 million is a testament to the resilience of our market, our business and our colleagues with a cash performance that positions us to continue to navigate the pandemic successfully and emerge strongly. More importantly, we've made significant progress in developing our business, strengthening its very core, while achieving market-leading growth in our digitally led businesses.  We also advanced our strategic agenda significantly opening up new channels for customers to work with us more easily and more conveniently, streamlining processes, removing complexity and working collaboratively across the group. And we did this while we restructured the business, we retained sales and customers, rationalizing our estate and recycling some of our estate into our growing businesses such as Toolstation and TF Solutions.  And we accelerated our platform for progress in how we are investing in our people, our systems and our processes. And we also developed and deployed a comprehensive ESG agenda during the year, which reflects our responsibility as an industry leader and a responsible employer to directly address the challenges that we all face over the years ahead.  As I'll outline later, not only does this performance show great resilience, it also shows a level of operational and strategic agility that I believe serves us well into the future.  We've also announced the demerger of Wickes today, which we are intending to complete during the second quarter of 2021. And this underlines our confidence in the Wickes business and as the group as a whole to operate successfully and independently from each other in the future. And today, I'll lay the foundation for a more comprehensive capital markets update on the future plans for the group during the summer post the demerger of Wickes.  But first of all, over to Alan. 
Alan Williams: Thank you, Nick and good morning everyone. So on slide 6 as Nick mentioned, in the light of the pandemic, it was a resilient financial performance overall with a good recovery in the second half. And I'll come on and cover that later.  Revenue for the full year at around £6.16 billion declined by 7.1% on a like-for-like basis and by 11.5% overall taking into account both business disposal and the branch closure program.  Given the fixed cost base of the business, the revenue decline had a significant impact on group profitability, resulting in an adjusted operating profit of £227 million versus £442 million in 2019.  The Group recognized adjusting items of £140 million, principally the significant business restructuring program, which we announced in June 2020. Adjusted earnings per share fell to 42.4 pence per share and return on capital employed also fell as a result of the profit performance.  On the positive side, cash generation throughout 2020 was extremely strong, reflecting the Group's focus on liquidity management. The Group's covenant net debt fell by £304 million from the position at the end of December 2019 million to £40 million.  While the Board recognizes the importance of dividends to shareholders it is not proposing a dividend for 2020 given the overall performance. Assuming no further deterioration in the external environment, the Board will reinstate the dividend in 2021.  So on slide 7, I've broken out the key drivers of the decline in Group revenue. As you can see the main drivers of the fall are lower volumes due to the pandemic; business disposals namely PF&P, wholesale and Tile Giant; and the branch restructuring program. This bridge also highlights the contribution to revenue from the expansion of Toolstation UK and the consolidation of Toolstation Europe. Of note also is that pricing was maintained overall, despite the pressure on volumes. This also reflects a modest input cost inflation environment for much of 2020. At the half year, I showed you the revenue trends by month, and by segment, to illustrate the impact on the spring lockdown. On slide 8, I've set out the full year on a monthly basis by segment. As you can see Toolstation has delivered a consistently strong performance throughout the year, and continued to strengthen its performance through the second half. In the case of Wickes, revenue recovered quickly driven by core DIY which remained very strong, while the kitchen and bathroom activity was held back by restrictions on showroom opening. While the Merchanting and Plumbing & Heating segment show similar trends, Plumbing & Heating experienced a larger decline in Q2 overall, but a faster bounce-back in Q3. Within Merchanting and Plumbing & Heating, impacts differ by business unit depending on their predominant end markets. Domestic RMI activity drove the recovery in both TP and P&H, while commercial and new-build activity continued to lag, impacting the specialist businesses in particular. I should also note that the slower performance in Merchanting in December was due to us deciding to keep branches closed between Christmas and New Year to allow the branch staff a longer break. Trends so far, in 2021, have followed a similar pattern to the final quarter of 2020. The group gross margin picture is relatively complex in 2020. Overall, gross margins within the group expanded by 50 basis points. This was driven by positive segmental mix given the relative revenue performance between the higher gross margin, but higher cost-to-serve retail and Toolstation segments and the Merchanting activities. Within the segments, the biggest negative element was lower annual volume rebates given lower purchases. We would expect to see this improve in 2021, as arrangements are reset. The group also saw a negative mix impact both from category and channel, albeit this was largely offset by lower promotional activity. Finally, the 2021 gross margin impact for the group will be impacted by the proposed demerger of Wickes. And so we will provide further guidance on this assuming the demerger is approved. Below the gross profit line, there are also a number of moving parts given the impacts of the pandemic on trading. Slide 10 provides a bridge from 2019 to 2020 adjusted operating profit. Firstly, the group was able to access government assistance through the Job Retention Scheme in Q2 and also through Business Rates Relief. The Merchanting and Plumbing & Heating segments benefited from $74 million of assistance. While in Wickes and Toolstation assistance received was fully repaid, given the strength of underlying performance. The pandemic clearly resulted in additional costs through distancing measures, PPE, Perspex screens, inefficiency in operations, and additional fulfilment costs, totaling just over £30 million. Overhead inflation and stranded costs due to the separation of Wickes in anticipation of the demerger totaled £48 million. But this amount was more than offset in the year by cost initiatives. This included the full year effect of 2019 cost initiatives, together with the first four months from the restructuring program which we announced last summer. I've then broken out separately the investment in expansion of Toolstation in the U.K. and in Europe, and the annual movement in property profits. So, as just mentioned, we announced a significant restructuring program in June. The program was designed to help mitigate the anticipated fall in gross profit contribution from lower volumes during the recession. The program reduces the network in the trade merchant businesses, including Plumbing & Heating by approximately 190 branches. The focus of the closures particularly in the Travis Perkins General Merchant has been on smaller subscale branches where either there were difficulties in operating safe social distancing practices, or where the scale of the branch, meant that profitability would be difficult in a lower volume environment. In addition, the program reduced support function roles across the businesses and the head office. Together with branch-based roles, around 2,500 roles were targeted or around 9% of the group workforce. The program will deliver gross cost savings of approximately £120 million on an annualized basis. As volumes recover from the 2020 level, some variable overhead will be reinvested to support increased activity. But ultimately the program was designed to deliver a lower cost to serve. Where branches have closed, sales retention has been in line with expectations ranging from around 1/3 in smaller General Merchant branches to over two-thirds in the specialist merchants, where the customer base comprises larger regional contractors allowing an easier transfer of business to remaining branches. I will discuss our property activity in more detail in a few slides. But I have noted here that in the future in particular in the General Merchant our focus will be to invest in larger more capable sites, with more stock on the ground helping us to optimize the cost to serve. I will now turn to performance by reporting segment starting with Merchanting. After a positive start to the year this segment was of course heavily impacted by the spring lockdown. The subsequent recovery has been encouraging and has been strongest in domestic RMI markets as mentioned earlier, while the specialist merchants have seen their end markets recover more slowly. Overall, revenue was 17.2% lower with like-for-like revenue down 14%. Gross margins were impacted by reduced annual volume rebates and some COVID-related inefficiencies. Discretionary costs were well controlled throughout the year and the restructuring program delivered benefits in the second half. Despite cost management and the government assistance received given the fixed cost nature of the branch network, the business was unable to offset the volume shortfalls and experienced a 46% decline in adjusted operating profit. The Toolstation businesses continued to deliver outstanding growth outperforming their respective markets. Despite the disruption of lockdown Toolstation UK delivered like-for-like growth of 20.9% improving quarter-on-quarter through the year. Having had to slow the branch opening program in the first half, over 50 branches were opened in the UK in the second half with a 2021 objective to open a further 60 branches. Financial performance in the UK was held back by cost to adapt the business model to trading during the pandemic in particular distancing measures and additional home delivery costs. Toolstation Europe also delivered fantastic growth in 2020. While the impact and timing of lockdown measures differed by market, the Toolstation proposition clearly appeals to customers with its multi-channel capability, high stock availability and outstanding value. Total sales in the Netherlands and Belgium grew by 79% and by 60% on a like-for-like basis. In France, total sales grew by over 90% and by 75% on a like-for-like basis. 17 new branches were opened in Europe in the year a little behind plan. Given the strength of revenue, losses were modestly lower than the plan. In 2021, we expect to increase the rate of opening, and so I'm guiding to a similar level of loss for 2021. Like Toolstation, Wickes also demonstrated its integrated digital capability and its ability to adapt rapidly to market conditions. Having experienced significant disruption through the spring lockdown, the core DIY proposition grew by over 19% in the year. Kitchen and bathroom showroom activity was held back by restrictions on in-store consultations and reluctance on the part of some customers to have tradespeople in the home. Despite this, the business developed a fully online consultation process, and this stemmed the decline in revenue to 27%. Current leads suggesting good pent-up demand exists. Lower promotional activity in core enabled the business to offset the gross margin mix impact from lower K&B sales. Operating profit fell by 20% overall as the additional COVID-related costs through distancing measures, unproductive labor and fulfillment costs led to increased overheads. Finally, we disposed of the specialist tile retail business Tile Giant in September meaning that with the demerger of Wickes the remaining group will be fully focused on serving its trade customers. And I'll return to the demerger in a few minutes. As I mentioned earlier the Plumbing & Heating segment was the most impacted by the spring lockdown, but also bounced back more quickly than other merchant businesses in the second half. This recovery has been driven by the domestic installer business. While the contract installer side of the business covering house building, social housing and nationals has been slower than RMI, this is a very strong recovery from the spring. The P&H business has also undertaken a significant restructuring program, which alongside the favorable gross margin movement described earlier underpinned the strong profit performance in the second half 12.5% ahead of H2 2019. As mentioned earlier, our cash performance in 2020 was excellent with free cash generation of £304 million. As you can see from the chart, this was driven by working capital inflow. Almost half of the working capital inflow came from lower inventory, despite further expansion of the Toolstation network as the business consumed much of the Brexit contingency stocks that we had built and benefited from the network rationalization in the merchants. While the debtor position has benefited from lower credit sales in Q4 than in the prior year and business growth was concentrated predominantly in cash-based businesses, the credit control teams have done a fantastic job throughout 2020 in managing down our overdues actually to below 2019 levels. Management of payables has been aided by the process benefit from netting of rebate arrangements. While the position at the half year was aided by the VAT deferral introduced by the government given the strength of cash generation this amount of over £100 million was paid to HMRC in December. Turning to capital expenditure on slide 17. Base CapEx for the year was £13 million lower than in 2020 at £108 million. Capital projects for the year were rephased in March with maintenance CapEx driving the year-on-year decrease. Growth CapEx was similar to 2019 and was concentrated in the priority areas for the group namely Toolstation expansion, branch investments in the TP General Merchant and IT modernization together with the ongoing store refit program in Wickes. Excluding the Wickes business, I would expect base CapEx in 2021 to be £90 million to £100 million with growth investment behind the same priorities and higher expenditure on vehicle replacement given the rephasing from the spring of 2020. Now as I mentioned earlier, I wanted to provide an update on our property activity. Having the right locations is clearly a key underpin to business performance. Over the last few years, we have repositioned the freehold portfolio to exit ownership of retail locations and to acquire more merchant freeholds in major conurbations where we expect further future rental inflation. Four years ago, the group owned a number of sites for future development. These are now all either built out under construction or in the planning process. We've also continued to seek opportunities to drive more value from the property portfolio with mixed-use developments above existing branches Paddington being the latest site where we have contracted with a developer. I'm also pleased to report excellent progress by the property team on exiting sites closed in June 2020 with 80% of freeholds and 55% of leaseholds, either disposed of or under offer. It was also pleasing to be able to repurpose a number of those sites within the group. Looking back over the last five years in the table on the left, you can see that property profits have averaged over £20 million per annum. Whilst the net book value of the portfolio is modestly lower than 2016, the market value of the freehold portfolio is significantly higher. And at the same time, a net £121 million of cash has been realized. Given the exceptional working capital performance, the business delivered a significant reduction in net debt. This was also aided by the £50 million inflow at the end of January 2020 from the disposal of the PF&P wholesale business and also by the suspension of the dividend. Covenant net debt fell by £304 million to £40 million with net debt including leaseholds declining by almost £400 million to £1.4 billion. During May, we prudently agreed a relaxation of covenants at June and December 2020. And given the strength of bond markets in late Q4, we chose to refinance the September 2021 bond maturity with a long five-year issue at 3.75%. As mentioned by Nick in his introductory comments, we have recommenced the Wickes demerger process in the light of both a more stable external environment and the strength of the group's liquidity position. Given the huge amount of work undertaken to prepare for the demerger 12 months ago, we're in a position where we will be able to issue the demerger documentation in late March and will be targeting an EGM and completion of the process in late April. David Woods and Julie Wirth will be providing a Wickes-focused investor seminar in late March to coincide with the publication of the prospectus. Having considered the impact of the pandemic, we still feel it is appropriate to demerge Wickes with approximately £130 million of cash as previously envisaged. This will clearly leave the remaining group's balance sheet in a stronger position when taking into account the leasehold position. Looking ahead, the long-term fundamentals of our end markets remain robust with ongoing demand for new housing and underinvestment in residential RMI. We also welcome the government stimulus package for UK construction. And given our broad end market exposure, we are well placed to service this demand. End markets have recovered well since Q3 2020 driven in particular by domestic RMI, where the group is well placed to benefit. And we have seen these trends from Q4 continue into early 2021. The group continues to focus on strengthening its core business and investing to develop a modern merchanting proposition, which will leave the group well placed to continue to outperform its markets and generate value for shareholders. And with that, I will now hand back to Nick for the operational review and strategic update and I look forward to taking questions later.
Nick Roberts: Fabulous. Thanks, Alan. As Alan has clearly laid out the business performance has proved resilient in the face of the challenges of 2020. I explained at length during our half year update in September of the range and the scale of the challenges that the business faced during those initial months of the pandemic. But the quality of our business, the commitment of our colleagues and the relationship that we have with our customers, ensured that we remained open for trade we pivoted our operating model and we created new ways of working and contactless ways of working and channels for our customers. Therefore, despite the impact of the lockdowns on our revenue and earnings performance, our ability to evolve our trading model rapidly and generate cash has been absolutely outstanding, and has enabled us to really accelerate change. We have made huge progress against our strategic agenda during the year. I'm now just going to walk through our businesses and outline how we've seized the opportunity to accelerate change as the first part of our strategy, Alan just mentioning strengthening the core of our business. And then, I'm going to outline the progress we've made in the modernization of the business for customers, for colleagues and for wider society, and how we've underpinned our business with people, processes and capability that will ensure that we're ever more agile and relevant to the needs of our customers in the future. Our key priorities remain unchanged. I just want to reflect on them, because as we'd entered 2020, this is a slide you will have seen before, they reflect where we're investing capital, time and energy in the business. The first three priorities, we group under the banner of strengthening the core of the business. The regeneration of our TP General Merchant has advanced significantly making a real difference to the kind of core professional trade and general builder customer of that business. As a result, the proposition continues to develop with more choice and convenience for customers simplified processes and improved channels to market. Toolstation, as Alan said, has proved its strength in the UK and in Europe achieving strong like-for-like growth during the year. And an enormous amount of progress has been made during the year around our ESG agenda future technology platforms around -- and around our investment in colleagues. So we've said -- we've done what we said we would do and we've done more, all of which was achieved against one of the most challenging trading backdrops in recent years. So let me start by talking about the General Merchant and strengthening the core of that business. The business has shown enormous resilience during -- despite the pandemic. And now we've got more channels through which our customers can transact with us easily and better capability in our branch teams to compete locally. As Alan noted, the RMI segment has proved to be robust. And whilst our professional trade and general builder customers businesses has been disrupted, our ability to pivot our operating model has ensured that we've been there for them and we've been able to serve our larger customers too. So I've talked before about regenerating our General Merchant. And this is work that we began back at the beginning of last year focusing as we've said on strengthening the core of the business. And despite the enormous operational challenges, we delivered a major pricing restructure that simplified processes for customers and branch colleagues. We simplified trading. We repositioned our lightside offer with relevant shelf-edge pricing to make sure that we enhance the competitiveness and upgraded our online channels. And that was allowing our professional trade and general builder customers to order online for delivery or click & collect through the new website. A fantastic progress made in that respect and transactions are up 40% year-on-year and growing. So this also enables us to reduce response times for customers' requests for quotes for work. We removed complexity in commercial deals. We removed complex rebate structures, simplified process and deepened the range and local choice of our heavyside proposition again something we said we would do last year. In doing this, we further empowered local branch teams to trade with better confidence and better transparency. And we refreshed branch leadership to succeed locally. As Alan said and we've trailed last year, we closed 84 smaller subscale branches in this business. So although we inevitably lost some market share in doing so we retained around a third of our sales through the remaining network and our relationships. So this was all about strengthening the core and regenerating the General Merchant, but we went so much further. So we've used 2020 to make progress to what we call the modern merchant, simpler more convenient to do business with, more convenient and consistent service and fulfillment models. So we've rebuilt the website to have stock availability and trade account management online. And we've developed and deployed new channels for click & collect services. And we've developed a new mobile app that's been trialed with customers and will be launched in next month in March, this month, even in March. What does this mean for our customers? Well, a clearer web and branch pricing tailored to them, simpler and more convenient tools for managing their account and fulfillment options in branch online or mobile. And this is coupled with better fulfillment, as Alan said, as we invest in larger heavyside destinations and larger branches, Stratford in East London opened in December, for example. We've refurbished more branches and we've got more large branches planned. Our partnership with Benchmarx and the TP General Merchant has improved customer penetration within our trade customer base. The enhanced proposition makes it simpler for our customers, particularly, general builders and specialist fitters to buy kitchens from us. We only achieve a 3% penetration of our current trade customer base, whereas we know about 30% of them buy kitchens. So we're really excited by the way this team continues to drive improvements in all aspects of the business, creating modern merchant founded on customer relationships and multiple channels through which customers can transact simply, conveniently with greater choice. And we are ensuring the relevance of this business for years to come. So I'm really excited to showcase the progress that we've made at the capital markets update in the summer. So then to Toolstation where we continue to win market share in the UK and Europe. In recent years, the focus for Toolstation, obviously, has been on revenue growth, market share gain and network expansion. But importantly, it's relevance to our RMI-focused trade customers -- professional trade customers and general builders has stepped on again in the last year. 2020 marked another year of progress as Alan mentioned over 21% like-for-like sales growth for the full year. And over £600 million worth of revenue as materiality to the group will only increase as we further expand the network and the business, and that matures too. The business in the UK evolved rapidly enabled by its simplicity, its convenience, its well-developed digital capability and the flexible and convenient branch proposition that we have. Our digital capability meant that click and collect rose to 90% through those initial lockdowns and then returned to a consistent 50% thereafter and remain so up from less than 20% in 2019. And the business has attracted three million new customers. It created new distribution center capability for direct customer deliveries from web orders. And as we mentioned last year, we completely re-platformed this IT capability in a matter of weeks derisking the business and enabling that growth to accelerate even further. We continue to deepen the range and the trade-focused categories within it. And that expansion has continued. And we have experimented with different branch formats giving new propositions to customers even more convenience of location and accessibility. We'll show you more in the summer about the exciting propositional and kind of digital developments that we've made. But for our trade customers, this business is ever more convenient, ever simpler and more relevant more locations, more channels, more choice, more market share. I'm delighted to say, we're seeing similar results in Europe too. The multichannel offering, the simplicity of the format, the convenience of the format, the extended open hours compared to competitors has really differentiated this business in its markets. And it was even more obvious during COVID as Toolstation Europe business was able to trade at near-normal levels whereas competitors had to close. These advantages have driven growth both in the Benelux and France. And we're actually as Alan outlined putting more infrastructure in place not just branches, but actually a new distribution center in Lyon, which will support significant branch expansion in France. Our confidence in the proposition means that we continue to invest in its rapid rollout. In what was a highly disrupted year, 17 branches were opened and we're targeting further expansion in 2021 equally split between France and the Benelux. And we continue to invest in our colleagues and the multichannel offer leveraging the online and the app developments from Toolstation UK in the year ahead. So we really remain focused on revenue and network growth in 2021. And so to P&H continuing to improve our Plumbing & Heating business. Our generalist trade RMI-focused customers as well as our professional installers really depend on our CPS business, the real backbone of our P&H business. The lockdowns in 2020 really challenged our customers who were less able to access their customers' homes and social housing projects which impacted the business considerably early on. But again, the second half improved markedly year-on-year growth in H2. The business was similarly strongly focused on strengthening the core and improving its performance, whilst some segments in newbuild and social housing have been slower to recover. It's made fantastic progress, improving the quality of sales, simplification of pricing, simplification of commercial arrangements and really close customer management. And as with the other merchants, we've really invested in modernizing the web platform, enhancing line proposition, really maximizing our trade through our pure-play brands such as Plumbnation and Underfloor Heating Store who were able to trade throughout. And so much so now that our online sales increased to -- there was growth in our online sales of 18% during 2020 with sales up now to £57 million online. It's coupled with a great performance of our bathroom showrooms whose online presence helped drive better performance as well. And as we said last year and Alan mentioned today at the start of the year, we continue to simplify our Plumbing & Heating business with the sale of the F&P wholesale business and we closed some underperforming branches in the summer. Dave Evans was appointed to lead the business and the team continues to focus on improving the quality of its performance with a clear focus on the installer market. And as we've previously said, we will continue to improve the business and consider the appropriate time to divest it in order to maximize return to shareholders. So to our specialist merchant businesses, who are really continue to extend their market leadership positions in their markets. Our specialist merchants serve customers in the commercial, housebuilding, social and economic infrastructure markets, all of which were substantially impacted, one way or the other last year. They were impacted by lockdown, but they still delivered a robust performance through their market-leading positions and efficient models. We did rationalize some of the networks last year, but we retained approximately two-thirds of the customers. BSS continues to retain its market-leading position in the commercial heating and cooling space. It remains a technically advantaged business, demonstrated great resilience in 2020, pivoting its operating model, developing some digital capability and retaining its relationships with customers. But in addition to that, we continue to develop technical capabilities in BIM. We started work with robotic process automization to continue to enhance our efficiency and ability to work closely with designers and this continues. TF Solutions continues to grow its leadership in the air conditioning space, with new branches. And within BSS, we've also launched a fast-track technical apprenticeship to develop the future pipeline of technically enabled leaders, so very exciting progress there. For CCF and Keyline, both again, market-leading businesses in their own right, their efficient models and their clear propositions enabled them to prove to be really resilient during the year as well. They serve the commercial and housebuilder markets. They operate in markets where the pandemic caused considerable weakness in 2020. And while some areas have shown better recovery, the long-term fundamentals remain really strong with investments in economic infrastructure, providing real opportunity for growth. So I talk about them together because, actually they're an example of how collaboration across our business continues to benefit our customers and the group as a whole. So both businesses restructured, closing smaller operationally challenged branches. But we retained about two-thirds of the sales through the efficient models and the relationships that we have. But that didn't stop both businesses actually moving further than that and improving the quality of the business during the year through a number of shared projects, firstly, delivery management, really optimizing route planning and enabling customers to track deliveries on their mobile devices again, retaining customers. We simplified commercial processes. We simplified pricing architecture. And the feedback from customers with more complex needs for these businesses has been truly excellent. So, we look forward to discussing our specialist businesses more with you in the summer. Then to Wickes, a thriving digitally led home improvement business. I just want to celebrate a fabulous performance by Wickes, which benefited of course from the bounce in DIY, but also the resilience of RMI. But more importantly, it actually proved the resilience and the relevance of a digitally integrated home improvement business model. At the point of lockdown, this time last year or later on in March, the 4C model really came into its own, with the branch network focusing as fulfillment centers for customers being already able to operate and pivot in this way seamlessly for customers enabled by its digital capability. And again similar to Toolstation, some of the statistics for the periods are quite outstanding, significant gains in our core DIY market in terms of market share and nearly five million active digital customers. And all that was focused on the core DIY side of the business. The do-it-for-me kitchen and bathroom showroom had clearly as Alan outlined been disrupted during the year. And this continued into 2021. But the digital visualization journey that was created and the tools they're in, really enabled to that part of the business to operate well and continue to drive growth. And as Alan mentioned, we think there's significant pent-up demand in that segment. So this business is in great shape. They've got a great team around David and Julie and we're now set well for its independence from the group. So then to our organizational platform which we've continued to work on during the year to really underpin our modernization agenda by investing in people, processes and systems. And of course, our leadership community, are critical to the success of the business. And I'm absolutely blessed to be working with what I believe to be the best in the industry. And I'm delighted that we've been able to bring fresh perspective and energy to the group leadership team during 2020, as our drive to modernize the group. Firstly, Frank Elkins was appointed Group COO. And his deep experience and all of his energy will be critical in helping us build the modern merchanting business that we're striving for, but also to enable collaboration across the group to realize its true power. Emma Rose joined us as group HR Director from Kerry Foods last summer, formerly of IHG and Cadbury's, also making excellent progress in our progressive people agenda, but also particularly focused on ensuring that we are a diverse and inclusive environment for our colleagues, both now and in the future. Phil Tenney recently joined us in January as our group CITO from Asda. And his background in business and technology transformation is ideally suited to help move the group forward as we benefit from the enormous opportunity as we progressively and carefully upgrade our heritage systems and the processes to create new services for customers. We've also simplified our leadership structure by removing layers, broadening the group leadership team to include all the opco MDs, ensuring agility, rapid decision-making and much better communication. So in doing so, we've made some new appointments: Catherine Gibson as the new MD of CCF, Catherine was formally our MD of group Hire, Dave Evans as I mentioned, as the new MD of P&H. He was formerly P&H's FD. And Dean Pinner has moved across from being MD of CCF to now being MD of Keyline. Not only does this show the depth and mobility of our talented leaders actually creates opportunities for future leaders to step-up. And obviously we've taken advantage of that. As I've mentioned we made great progress last year, in simplifying streamlining and improving our processes and the accuracy of those processes both within the business and for customers. So the netting out of rebates that Alan mentioned was an enormous process simplification and structural change for the business and for our suppliers in the year, taking complexity and cost out of all of our businesses. And we've radically simplified the way in which we run customers' credit accounts as well. We've made solid progress in modernizing our technology environment by advancing on three fronts. Firstly, as I've outlined in talking about channels, new channels we developed new digital capability which makes us much easier and more convenient to do business with for customers. And we're extending this to our processes. So we'll talk more about this in the summer. But the structural shift in customer behavior is I believe here to stay and the developments for us are really, really exciting. We've begun the process of replacing our core transactional systems. And we've made advances in how we utilize the data assets of the group. There's much more to do, as we build our technology platform, that will enable our business to modernize at pace. But we made fabulous progress last year, better data insights enabling, better branch decisions and customer experiences and improved data quality really underpinning our service evolution. And we're doing this, in a modular, componentized manner, which allows us to build new capability on top of our heritage estate, whilst lowering the risk and enabling us to progressively decouple from those legacy systems overtime, so great progress. I'm also really pleased with the progress we made last year, in defining our ESG agenda what we call our sustainable business framework, which builds on past progress, but actually provides a new a much broader framework which reflects our position as an industry-leading responsible employer. Stepping back from this, this fits within a broader framework, that we'll update you on in the summer, which refines our purpose as a business, how we think about our ambition in the future. And how we build the deep sense of commitment to the communities we serve, across the country and the role we play for them and for our industry. We've developed and deployed a comprehensive ESG agenda during the year, represented here on the slide, capturing progressive plans in carbon diversity, skills, responsible sourcing, and our broader people agenda. So we recognize that, along with the rest of the construction industry we've much more to do, but already working in partnership with others to progress this agenda. But we've made some excellent progress through the pandemic. Some ESG highlights, just at the start of what is for us all a very long journey. Firstly, we're addressing our carbon agenda, an area where we will all need to make considerable impact. Today we're announcing that we have set ourselves a net zero carbon targets for, Scope 1 and Scope 2 carbon by 2035, which will be driven by 80% reduction and 20% offset. Scope 3 targets will follow in the summer, underpinned by Science Based Targets, which will require us to be part of building an industry-wide effort to address the Scope 3 emissions reductions with customers, with suppliers and the rest of the industry. And we aim to be at the center of that. We've also made huge progress in becoming a real living wage employer within our Merchanting businesses and P&H and Toolstation will follow. And we've significantly enhanced our family leave policies. Our colleagues continue to be our priority. And we listen, and receive regular feedback from colleagues across the group through weekly pulse surveys from which we learn a huge amount. And safeguarding and supporting their physical and mental well-being has been at the forefront of our efforts over the last year. But it's also about building skills for the future, 560 apprentices in 2020, aiming for over 1,000 in 2021, thus leading the development of this talent and skills for the industry. And we aim to bring in 850 colleagues into the business this year under the Kickstart Scheme. We aim to increase the diversity in all respects across our business new perspectives, new experiences, new ways of working, new ways of doing and thinking about things, and ensuring that our work environment remains inclusive for all, because after all, it's what makes us, us. The GLT are directly sponsoring networks of colleagues in BAME, pride and ability amongst many others. And this is part of a broader approach to our ESG framework that we'll discuss in more detail in the summer. So again, we haven't just navigated the pandemic, we've been rapidly and comprehensively accelerating change in this critical area. So then to building the future, 2020 will be a year that we will remember for powering through adversity for embracing the moment in time that it represented and really making progress in building the future. We demonstrated resilient financial performance strengthened the core of the business. And we've done this by focusing on a clear and timely purpose last year in the face of a pandemic that meant all of our colleagues came into work to operate our open business and to serve customers at a time of national emergency.  We innovated quickly. We took tough decisions early. We challenged ourselves to do so much better. And we embraced what we believe to be lasting change in the market we serve. We are already anticipating changes in customer behaviors and expectations. And we're already looking at how the construction industry and the professional trade landscape is changing and how that impacts business models and the operating environment that we work in. And we saw these changing -- changes accelerating as a result of COVID. And quite simply we chose to embrace them.  We discussed at length today our focus on strengthening the core of the business, getting the fundamentals of the business right to deliver best-in-market service to our customers and drive sustainable market outperformance. And this has been at the center of our activity in 2020.  But we've gone further. We are building the modern merchant, one that is enabled by multi-channel digital capability founded on the clear bedrock of our long-standing customer relationships, but where service proposition is simple, convenient, easy consistent whether it's across our local branch networks online or mobile. And we've taken the complexity out of our business progressively removing pain points for customers, built our team and technological capability. And in 2020, we've made more progress than ever before.  So as a result of all of this hard work, we are now looking forward to leveraging the power of the Group and how we can grow our market share, seek further advantage from the scale of our assets and from our new channels with customers.  So as Alan mentioned, we operate in markets where the underlying fundamentals remain strong the need for continued housebuilding, to meet the demand in the market underinvestment in our legacy housing stock, driving RMI, maintenance and upgrade requirements for both commercial and social infrastructure -- commercial premises and social infrastructure and the continued government investment in economic infrastructure.  So we're now working harder together collaborating across this Group to bring simplicity, convenience and choice to our customers and advantage to our business. And we continue to lean our model to bring efficiency to our business by investing in our physical and technology assets.  So we simply have not wasted the crisis that the pandemic brought, but strengthened our business significantly accelerated its modernization and strategic agenda and continue to work hard to remain a market leader and a deeply relevant and convenient partner for our customer for years to come. And we've got so much more planned, which I look forward to updating you on in the summer.  Thank you very much. And with that we're happy to take questions. 
Operator: [Operator Instructions] Our first question comes from Yves Bromehead from Exane BNP Paribas. Your line is now open.
Yves Bromehead: Yes. Hello. Good morning, everyone. Can you hear well because I can hear a small echo?
Nick Roberts: Hi, Yves.
Yves Bromehead: Okay. Great. I just wanted to get an understanding of what you're seeing in terms of the outlook. You're mentioning that you're seeing a continuation of trend in H2. But could you maybe provide some more color if you've seen an acceleration of the recovery trends in Q1 especially on the Merchanting side and the P&H and if you've been impacted by some of the weather conditions here in Q1?  And then my second question and it's really exciting the journey that you're on especially on the digital side of things, would you be willing maybe to provide some medium-term targets in terms of market share gains and the app growth that you could achieve versus your competitors especially the local smaller platforms?  And finally, my third question if I can, just on the dividend. I mean, you're mentioning that you will go back to distribution in 2021. Are you going to go back to the usual interim and final dividend type? And any indication on the quantification of how we should think about it would be really appreciated. Thank you very much.
Nick Roberts: Shall I start on the journey and then you take the outlook and shareholder dividend. Yves, well, great to hear your voice. Thanks for those questions. You're absolutely right. The journey that we've started in terms of our multi-channel experience and development for customers is really exciting. I think it's fair to say that it's too early to be specific around what we anticipate in terms of market share gain and growth.  The replatforming of our online presence in both our General Merchant and Toolstation was in the second half of the year. We continue to advance that and we're seeing some tremendous results.  But the app development for TP, which will rollout this month and Toolstation shortly thereafter is just a further development of being able to curate a really personalized experience for our customers on the mobile app. And I think that will be a tremendous experience for them and simplify our processes too. So I think it's too early, but we will -- we have seen some really good feedback and reaction from our customers, thousands of customers that we've been trialing and piloting it with. We're getting some great data as a result of that. And obviously we'll update you on some of the progress we make over the next few months in the summer.
Alan Williams: Thanks, Nick. So Yves on the question on outlook first of all and providing a bit more color what we meant by continuation of trends is when you look by end market. So we're seeing RMI continue to be robust across the businesses. We're seeing conversely new housebuilding, commercial activity, social housing repairs, lagging somewhat and still being below the 2020 levels. Overall, I'd say the group is in decent like-for-like growth year-to-date. There is some impact from the cold weather as you'd imagine what hurts some businesses so laying a concrete is positive at the same time for a Plumbing & Heating business. But overall, we're pretty comfortable with where we are. Particularly given that we're in another lockdown period that has impacted the kitchen and bathroom business in Wickes and also the bathroom showrooms in Plumbing & Heating. But it's remarkable to think that we can do more than half the volumes we did last year in Wickes even though those showrooms are fully closed. If you think back to that chart I had in the summer, where I showed you that were no sales last April and May in K&B showroom, we've done over half the level we're doing last year even though those showrooms are closed currently just through an online process. In terms of dividend, we will go back to an interim and final split. The Board has yet to determine what that looks like. And of course we need to take into account the impacts of the demerger as well as we do that. But we'll update in due course as you'd imagine.
Yves Bromehead: Thank you very much.
Operator: Our next question comes from Priyal Woolf from Jefferies. Your line is now open.
Priyal Woolf: Good morning. Thanks for taking my questions. So I think I've got three. The first one is just do you have an estimate for where 2021 cost inflation could land? And can we use this as a guide for pricing in the top line as well? Second question is in the divisions which will remain over the longer term say Merchanting and Toolstation, you basically alluded to the fact there's being more of a shift towards delivery sales through the COVID lockdowns. Do you have any view on whether these delivery sales will be sticky over the longer term when restrictions start to ease? And could that -- I mean is that something we need to bear in mind when we're thinking about longer-term margins? Could this pose some sort of a headwind more fundamentally? And then the final question is just on the Plumbing & Heating sale. I appreciate you've already told us that the Wickes demerger is more of the immediate priority. But as and when Plumbing & Heating is sold and the cash from this comes through have you provisionally thought about what this cash could be allocated to? Will it be deleveraging reinvestment, or could this actually come back to shareholders? Thank you.
Alan Williams: Hi, Priyal. Let me start and Nick fill in some color. So on your first question 2021 cost inflation outlook, after a benign 2020 where we only really saw inflation in limited categories, so for example timber I would note on timber it was after deflation through 2019. We've now seen some return of commodity inflation so affecting steel and copper in particular. So I'm not going to put a definitive number on it, because it's still an evolving situation. Low single-digits is as much as I'd guide at this stage. I think we are very focused on ensuring good discipline on pricing. So we would look to pass that through to the end customer. As you know the industry has a pretty good track record of recovering its cost of goods inflation. Thinking about the mix on delivered sales through the lockdown. In terms of the Merchanting businesses it's -- I suppose it's less relevant in that we're already a very high proportion of sales which are delivered. I think Nick's comment was more in particular with regard to Toolstation and Wickes. So on Toolstation, we saw a more than doubling in the level of delivered sales from the fulfillment center for end customers during the lockdown. That dropped off a little, but we're probably more like 15% of sales rather than 10% of sales in 2019 which are home-delivered. One of the things that we did do to help manage the cost on that was to increase the minimum order quantity in order to qualify for free delivery. I think overall those sales are still accretive to net margin. So we're not trying to guide to anything that you should be looking for in margins in the long term. And then on Plumbing & Heating, I think we've been very clear on what we're looking for particularly in the wording in the RNS. So we won't be rushed. We're minded by shareholder value. I think you'll all recognize that the leverage of the group is in a pretty good place. We are cash-generative overall. So we can fund the growth in TP and Toolstation and also the IT modernization. So that does leave you looking at the prospect of increased returns to shareholders.
Priyal Woolf: Thanks very much.
Operator: Our next question comes from Aynsley Lammin from Canaccord. Your line is now open.
Aynsley Lammin: Hi, thanks. Just two for me please. First of all, obviously the growth in Toolstation is pretty spectacular at the moment. Just wondering if you could remind us where you see a target in the medium-term for the number of branches you're able to open and what would be a kind of average turnover per branch. And then, secondly, just wondered, if you see any regional differences or product groups. What's particularly strong? So you've got the DIY, and you've mentioned the larger projects. But interested in any more color you may give there. Any product availability issues potentially as well? Thanks.
Alan Williams: So, on Toolstation medium-term targets Aynsley, we're -- and this is specific first of all to the UK, very focused on getting the business to £1 billion of revenue. I think in terms of the branch network, we can see scope to support 600, 650 branches. We've seen a significant growth in revenue per branch, even though obviously a lot of that space is relatively mature at this stage given the acceleration in openings that we've seen over the last couple of years. If I think about the European markets where at present, obviously, France is a market, that's similar in size to the UK in terms of number of households overall. The Benelux business is performing extremely well. We're delighted with what we're seeing there, which has given us more confidence to go more quickly this year. On regional differences, I think there are two aspects I'd point out. Firstly, the differing rules in different parts of the UK. So obviously Scotland has been much more restricted than England in terms of construction. So that's had an impact. We've seen London and the Southeast generally be a bit slower than the rest of the country although that has improved a little in recent weeks. In terms of product availability issues, there are some availability issues. The fact that we've not talked about them is indicative at this stage that I don't think, it's significantly impacted revenue in the group. Otherwise we would have highlighted that. The product categories are -- I should stress this has nothing to do with Brexit. We're not seeing particular Brexit issues or anything like that in the business. But we are seeing issues with shipping containers and also dislocation, if you like, in the supply chain given that a number of the suppliers halted production during the second quarter of last year and are still struggling to catch up. We are anticipating further issues in insulation plus the board, in terms of lower availability than we would like, but as I say, not holding back sales at this stage.
Aynsley Lammin: Great. Could I just have one follow-up? On the Toolstation, did I correctly hear you say that you'd expect the losses in Europe to be similar in 2021 as 2020?
Alan Williams: I did yes. And the reason for that Aynsley, was the fact that although, we're narrowing the loss in the Benelux business on an underlying basis, we're intending to accelerate the rate of opening having opened less branches in 2020 than we'd originally planned.
Aynsley Lammin: Very clear. Thank you very much.
Operator: Our next question comes from Will Jones from Redburn. Your line is now open.
Will Jones: Thank you. Good morning. Three for me if I could please. The first is just coming back to the group gross margin levers that you highlighted. I think one of the benefits last year was reduced promotional activity. Just checking has that continued into 2021? And does it apply to all four areas, please? The second was just more generally I suppose around Merchanting. I think we're a couple of years on since the simplification process was first talked about. Would you say that is the vast majority done now in terms of the measures you want to take, it's now a question of reaping the benefits, or is there more to do around that, and just checking that whether that would include a further look at the network? And the last one was just around Toolstation in Europe. Again, if I was to push you, would you -- when we think of France versus Benelux, is the one country or one of those two regions that you're incrementally more excited about, or is it good to go in both? And again, long-term is there any reason why we should think about different metrics to the Continental European business as opposed to the UK one in terms of sales margins, et cetera? Thank you.
Nick Roberts: Can you start on GM and I’ll go back to the...
Alan Williams: Yes. On your question on the gross margin levers the promotional activity reduction was in particular within the Wickes business. It's less of a feature in your -- in the Merchanting businesses. Toolstation, it was probably more impacted. I think overall you might say -- you could describe it as a bit more promotion, but that was more a question of customer mix during the year. So -- because of restrictions we saw a greater participation from retail customers for a time during the summer within the Toolstation business. I'll just complete Nick on Toolstation Europe and then hand over for the question on Merchanting and what we got to. I'd say, we're really excited about the prospects in both Benelux and France at this stage. You've seen them both show like-for-like growth as if we'd own the business throughout 2020 and 2019 of over 60% and near doubling of revenue admittedly off a low base. What we tend to see with the Toolstation model is you build the ranges over time. And as you build those ranges you get incremental gross margin coming through. I don't see any reason why those trends would be any different from the UK. The Dutch market is probably the one we've been in -- in the longest. And the underlying metrics whether that's per branch online participation gross margin they're all starting to approach the levels that we would see from the UK.
Nick Roberts: Yes. Thanks, Alan. Thanks, Will. Great questions. On your second question, Merchanting, we've made some tremendous progress as we've outlined in the year. But we will be the first to recognize there's more to go. But the fact that we have accelerated past our expectation means that we can really work on that now. Inevitably, data and technology will help us in this regard. It already has done. So the more we're able to use our data, the more insight and management decision-making that enables both senior and within our branch network then we can continue to simplify our processes. We've made some great progress, but we think at branch level there's more to go with some of our very manual ticketing and paper-based processes as we look at the development of our app capability for that. But also within our central functions we think there's more progress we can make around simplification in credit, in finance more generally. And of course we're starting to look at as I mentioned the replacement of our core transactional systems. So we're really pleased with the progress we've made. We think there's much more we can do and we will continue the effort in the years ahead. On network -- as we said we made some significant progress in rationalizing our estate in terms of some of the smaller more operationally challenged branches last year. Whilst we always review our estate and our network we are really focused on investing in the larger more capable branches and continuing to expand our Toolstation network as well. So it's a constant review, optimizing the location and the size of the network and how it can serve customers better. So far from further simplification and rationalization we continue just to review on an ongoing basis. 
Will Jones: Thank you. And sorry, if I could just come back on the first one if possible just back in the Merchanting business and around gross margins. One of your peers highlighted higher like-for-like gross margins in its individual brands within trade merchanting recently in the second half. And one of the factors within that that they highlighted was seeing lower levels of competition. Qualitatively how are you seeing the competitive backdrop I suppose in Merchanting? Thanks.
Nick Roberts: I think we're continuing to see a very competitive environment in Merchanting which is why it's -- our challenge to ourselves is to continue to optimize our operations to simplify our operations and to use our assets really wisely. So it's a highly contended space, but we continue to make good inroads into it. 
Will Jones: Great. Thank you.
Operator: Our next question comes from David O'Brien from Goodbody. Your line is now open.
David O'Brien: Good morning, guys. Thanks for taking my questions. Firstly, look it's clear there's an awful lot of strategic work going on in terms of the digital strategy of the company. Just wondering if you could take us through some of the other strategic initiatives that are there, and particularly there are some interesting points made in the statement this morning on rebates? You mentioned that working with suppliers you're netting out over half of fixed price discounts across Merchanting and Plumbing & Heating. Just wondering could you give us more color on that process? What are the prospects of getting towards 100%? Are we seeing the end of rebate structures as we've all come to know them? What kind of impact on working capital can we expect from that? Secondly, within your piece Nick on Merchanting and the strategic initiatives there you talked about enhanced local decision-making at branch level. What does that look like for the customer who's coming to the counter? What does it look like for the guy or lady behind the counter as well? And what better outcomes does that lead into for both? And thirdly, just to go back to Toolstation you talked about potential for £1 billion revenue business. What kind of margin profile should we expect medium term? Should you reach that type of level? And finally, COVID has accelerated many underlying structural trends across the industry. Is that going to have any influence in terms of your activity from an M&A perspective? 
Nick Roberts: Why don't you talk about rebate and I'll pick up the other...
Alan Williams: Yes. Hi David. So just on the on your first point on the strategic initiatives and a specific focus on rebates, I suppose we were looking at a situation where on our overall cost of goods we had about £1.5 billion of rebates to collect. I would describe the vast majority of that as fixed price discounts. I suppose I'm colored by my experience of the grocery industry and how that changed post the issues that Tesco had about eight to nine years ago and was quite surprised when I joined the business by the level of discounts that were offered. I think the reason that we went after this was the obfuscation at the branch on pricing and in the business in understanding the true margin of categories. I would expect, not all of the rebate will be removed. So again, the analogy in grocery, my understanding is things like growth incentives promotional funds still exist. But that fixed price discount element that the customer pays back to you within the next three or four months didn't make sense. And so, that's the bit that we've done. And we're hugely pleased with the progress that we've made, more to go on that I have to say. Let me pick up the point on Toolstation margins in the -- rather than the medium term, it always depends on what you think is the medium term. But let me say steady state, Toolstation UK would be a high single-digit, net margin that we would be targeting. I'll hand over to Nick for the question on the local decision-making.
Nick Roberts: Yes. Brilliant. David, good morning. Yes what do we mean by enhanced local decisions? We've improved and simplified our pricing processes for our branch teams. We recognized and we actually talked about this last year that over the years, they had become way too complex, way too many processes, way too many options. And so for our branch colleagues and for our customers, we've simplified down our pricing processes. The netting out of rebate that Alan just touched on to your first question has enabled us to empower our branch teams to make much more transparent and quicker decisions around pricing with our customers and for our customers. So all of that's been speeded up. And that transparency and simplicity around the processes has really enabled our branch teams to compete more effectively locally and to serve customers more quickly. And as I mentioned, it's also taken time out of our response process to request for customers quote. So, in many respects, just really attacking process complexity and decision complexity has enabled us to be much more nimble, much more agile and much more responsive at the counters within our branches. Do you want to cover the M&A one?
Alan Williams: Yes. I think, David on the question on M&A, I think we've been more D&D, namely demerger and disposal in the last couple of years. So, we've been sorting out the portfolio. Opportunistically, we will continue to look at bolt-on additions to the portfolio in the UK, so where there are opportunities to expand into other adjacent product areas that have attractive growth profiles and good margin and occasional infill acquisitions in terms of the network. But a lot of what we're focused on is organic growth within the business whether that's in the UK business as we described or in Toolstation in Europe.
David O'Brien: Thanks very much.
Operator: Our next question comes from Charlie Campbell from Liberum. Your line is now open.
Charlie Campbell: Thanks. I had a couple of questions, really. First of all, it's just on Wickes and just thinking about the shape of 2021. I mean, I guess, as we think about the sort of the kitchen and bathroom and do-it-for-me, probably that ought to kind of be better than last year, depending on when things open up again, but some pent-up demand, as you've described. But thinking about the core DIY, I guess it's going to be quite a big ask for that business to replicate the second half. I'm just wondering, if you had any thoughts or guidance around that. And secondly, in terms of the app and in particular within Travis Perkins Green & Gold, are you moving to a fully differentiated pricing model online, so all customers benefit from differential pricing depending on their scale? Have you got to that stage yet, or is that still work in progress?
Alan Williams: Thanks, Charlie. Just on Wickes, first of all, and then I'll let Nick take the question on the app. I think, in terms of shape of 2021, at this stage, we're clearly seeing strong core DIY growth still, which is offsetting the fact that the physical K&B showrooms are closed. As we go through the year, assuming that the restrictions are eased in line with the government's plans from the 12th of April we'd expect to see the showroom activity pickup. As I said, we've got strong leads at the moment. And we'd also expect to see customers much more confident about having trades people in the home. So again, see the installation side pickup. So my view is that will be a compensating factor. But I'd recommend asking David and Julie the question on the 26th of March.
Nick Roberts: Jolly, morning. Yeah. On the app which we're excited about, we have moved, as I mentioned, significantly to what we call relevant shelf-edge pricing within our shops and branches, within the General Merchant which -- particularly on our Lightside product set which makes it much more compelling online too. We still have customer-specific pricing templates behind that agreed individually with our customers. But actually online and in our stores in the branches, the shelf-edge pricing particularly as I say for Lightside is much more relevant to the market and also for Heavyside as well. So that enables us to continue to develop our digital channels. And provide that seamless service for customers.
Charlie Campbell: Thank you.
Operator: Our next question comes from Gregor Kuglitsch from UBS. Your line is now open.
Gregor Kuglitsch: Hi. Good morning. Thanks for taking my questions. Maybe the first one for Alan, I'm going to slide 10 here. Could you maybe give us some color of some of the moving parts that you think are reasonable heading into the New Year? I appreciate the gross profit element is ultimately a function of sales. But a lot of the other components and some of those things are quite substantial you should have relatively good visibility on. So particularly interested I guess, -- and I know you commented on some I think in -- on the Toolstation side. But I guess I'm interested in things like, cost inflation. I think in the commentary section there is obviously the incremental cost savings that will get reinvested. So, can you just help us out a little bit as to sort of all the different moving parts? And maybe as a sort of secondary question to that, I think when the Wickes demerger was planned initially, there was kind of additional costs being incurred into some plc across at Wickes. And then, we can also see in your kind of reconciliation of profit your overhead unallocated cost has gone up to £40 million. A couple of years ago that was £30 million. So what I'm interested in is whether you think that has peaked and will unwind, or whether there will be more incremental costs going forward as you de-merge the business. I maybe have another question subsequent to -- I know these are a bit complex. And maybe let's start with that.
Alan Williams: Yeah. Thanks Greg. So on the profit drivers clearly a very complex picture in 2020, given the pandemic. First of all, just thinking about that bridge government assistance not expecting any contribution in 2021, we've no intention as things stand of availing of any future government assistance. On the cost saving program, you'd expect on a gross basis £80 million incremental savings from the branch closures. It's difficult to put an exact figure on how much would be reinvested, because it will depend on the recovery in volumes. But say half of that is reinvested within the service assuming volumes come back. On overhead inflation within the business overall, I'm expecting that to be relatively modest, so sub 2%. I'm expecting that we'll continue to invest in overheads in Toolstation in the UK and Europe as we expand the business. And we've guided on property profits to £20 million, so you'd have a swing-back on that item. On the stranded overheads, so the increase from £30 million to £40 million in unallocated central costs, I am anticipating that that's it. So with the work we did on the demerger for Wickes last year, we've effectively set the business up pretty much with stand-alone elements. There will be a little bit that you'd expect to see in Wickes as a stand-alone plc in terms of investment. But on the TP side, I'm not expecting that £40 million to grow particularly. Clearly, there were no management incentives paid out in 2020. So there'll be a bit of modest costs as that's hopefully put back in. But overall I would expect us to start to unwind that element of stranded costs over the next 24 months as we've guided previously.
Gregor Kuglitsch: Okay. Thank you. And then, the other question was on the working cap. So, I think you released something in the neighbourhood of £200 million from that. So as -- let's assume volumes are broadly the same this year and I know the answer is it depends by division et cetera, how much would you expect of that to basically have to be reinvested into working cap basically? 
Alan Williams: Yes. Greg, that's very dependent on the mix by segment as you point out and also by the recovery in volumes. I think there's probably £15 million or £20 million of Brexit-related contingency stock still to unwind. But I think we'd be effectively reinvesting that to where we can to increase stock on the ground in merchant businesses or also to address some of the availability point.  So it's the availability question is more the safety stocks rather than impacting sales at the branch level at this stage. And then you'd expect the debtor book to expand our sales growth. So in line -- I'd expect debtor days to be constant, but the debtors within the Merchanting businesses to grow somewhat in line with sales there. 
Gregor Kuglitsch: Okay. And then final question on the digital offering and maybe tied into that CapEx, so can you just give us some sense where you are on I don't know maybe there were a lot of numbers flying around so apologies if I missed them. But how many -- like I don't know if your Merchanting customers are using an app. Where should it be?  And how do you -- what's the kind of cost? So you've obviously guided to £90 million to £100 million of CapEx. Is that the kind of number you think is required to fund that transition, or do you think that will have to meaningfully step up as the business transitions? 
Alan Williams: Yes. Gregor, we'll probably have to go into more detail on this at some point and I don't want to give an accounting lecture. But the accounting for digital is somewhat different. There's less that you can capitalize compared to a more traditional IT expenditure. So already built into our operating costs in the overhead is some of the spend that we've been incurring on developing the apps from a digital perspective and a much smaller proportion that is capitalized.  I'd expect some increase in IT within that £90 million to £100 million, but not a material step-up or anything like that. 
Gregor Kuglitsch: Okay. Thank you. Cheers. Thank you.
Operator: Our next question comes from Jon Bell from Deutsche Bank. Your line is now open. 
Jon Bell: Good morning, Nick. Good morning, Alan. I think I've got two if I can. How many Toolstation branches could you open up in Europe in 2021? Just trying to define the art of the possible there really. And then the second one is in Wickes and K&B. If we do see the pent-up demand release which sounds likely what steps have you taken to ensure that you capitalize on that? Thank you.
Alan Williams: So Jon thanks for that. On Toolstation branches in Europe, I'd like to think we could do double what we did last year. From a Wickes, K&B perspective, I think the digital journeys have worked really strongly for us. We have a very strong network of installers. And we've got a great team of kitchen designers who are poised as customers come back into the branch to help them undertake the projects they want to do.  In order to understand that funnel of interest in new kitchens and bathrooms, we look not only at the inbound inquiries that we get, but we look across trending categories on the Internet in the UK across social media various platforms. And we can see that there's still very good demand from consumers to undertake those sorts of projects.
Jon Bell: Yeah. Okay. Thank you.
Operator: Our next question comes from Sam Cullen from Peel Hunt. Your line is now open.
Sam Cullen: Yeah. Good morning, everyone. I've just got a couple please coming back on the Merchanting simplification. Just I'm trying to get a sense of how -- what we should be looking at to sort of benchmark your success in the turnaround of this business in the next sort of three to five years. Should we be looking at sort of excess volume growth ahead of -- I think the Merchanting division has averaged about if you kind of ignore COVID around 2% a year for the five years from 2015 to 2019. Should we be looking at that doubling? Should we be looking at incremental kind of gross margin improvements from the sort of 28%, 29%, you typically give as people transact more online and negotiate less? So, some numbers we can use going forward on that basis would be helpful. And then secondly, just putting some numbers on -- I think it was David's question around order builder fees as they come in, how long would they have been waiting for a quote for a kitchen extension previously? And how much quicker do you think you can do? And that will be helpful to know just an example. Thanks.
Alan Williams: Hi, Sam. So on the -- how we benchmark success within the Merchanting business in the General Merchant, I think it is all about the ability to gain market share, at the same time growing the net margin. It might surprise you if I said I'm slightly less focused on gross margin. I'm focused on the net realization. And I'm conscious that as customer habits continue to evolve over the next five to 10 years and with the mix of customers, you may see some shifts between gross and operating costs. But overall, I think we can grow the net margin within the business. I don't have stats to hand on how quickly we can now turn around quotations on kitchens since the integration of Benchmarx into TP. But what I can tell you is we've seen a really strong uptake with cross-selling to TP customers of kitchen. So as Nick quoted, a lot of the customers that we have the general builders are undertaking kitchen extensions, often they were not aware of the strength of the offer that we have within the Benchmarx business. We've now made that much easier for them. But we'll come back to you in time, and in particular, in the summer when we do the capital markets update with some more facts around that.
Sam Cullen: Okay. Thank you.
Nick Roberts: I think we are up against our time. Thank you for your questions. Thank you for your participation this morning. We really appreciate to seeing you, and we look forward to seeing you at the Capital Markets update in the summer. Thanks very much.